Operator: Good morning, and welcome to Office Properties Income Trust First Quarter 2024 Financial Results Conference Call[Operator Instructions] At this time, for opening remarks and introductions, I would like to turn the call over to Kevin Barry, Senior Director of Investor Relations. Please go ahead. 
Kevin Barry: Thank you, and good morning, everyone. Thanks for joining us today. With me on the call are OPI's President and Chief Operating Officer, Yael Duffy; and Chief Financial Officer and Treasurer, Brian Donley. In just a moment, they will provide details about our business and our performance for the first quarter of 2024.  I would like to note that the recording and re-transmission of today's conference call is prohibited without the prior written consent of the company. Also note that today's conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other securities laws. These forward-looking statements are based on OPI's beliefs and expectations as of today, Thursday, May 2, 2024, and actual results may differ materially from those that we project. The company undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made in today's conference call. Additional information concerning factors that could cause those differences is contained in our filings with the Securities and Exchange Commission, or SEC, which can be accessed from our website, opireit.com or the SEC's website. Investors are cautioned not to place undue reliance upon any forward-looking statements. In addition, we will be discussing non-GAAP numbers during this call, including normalized funds from operations or normalized FFO, cash available for distribution, or CAD, and cash basis net operating income or cash basis NOI. A reconciliation of these non-GAAP figures to net income are available in OPI's earnings release presentation that we issued last night, which can be found on our website. And finally, we will be providing guidance on this call, including normalized FFO and cash basis NOI. We are not providing a reconciliation of these non-GAAP measures as part of our guidance because certain information required for such reconciliation is not available without unreasonable efforts or at all, such as gains and losses or impairment charges related to the disposition of real estate. I will now turn the call over to Yael. 
Yael Duffy: Thank you, Kevin, and good morning. Last night, OPI announced that it has commenced the offer to exchange certain of its outstanding unsecured senior notes for up to $610 million of new senior secured notes, subject to the terms and conditions set forth in an offering memorandum. Now that the offering period is open, today's call will focus on OPI's first quarter operating and financial results, and we will not be taking any questions at the end of our prepared remarks. Before I begin, I want to highlight the recent publication of the RMR Group's Annual Sustainability Report, which provides a comprehensive overview of our managers' commitment to ESG goals. We are deeply committed to enhancing OPI's corporate sustainability practices and continuing to advance initiatives that benefit our tenants and communities. As a testament to our environmental stewardship, OPI was recently recognized as an ENERGY STAR Partner of the Year for the seventh consecutive year in the sustained excellence on ore for the fifth year in a row. You can find a link to the report and the tear-sheet specific to OPI's highlights on our website at opireit.com. Now turning to the quarter. I will begin with a recap of our recent activities, then provide an overview of our portfolio, leasing performance and the progress we made on key initiatives. From there, I will turn the call over to Brian to discuss our financial results. The strength of OPI's portfolio is a mix of credit quality tenants and its industry and geographic diversification. Since last fall, we have been focused on addressing our debt maturities, identifying assets for disposition and leasing vacant space. To accomplish our financing objectives in an extremely challenging lending market, especially for the office sector, we have utilized the properties with the strongest attribute to secure our recent deals, including the recast of our revolving credit facility into a new $425 million credit agreement and the refinancing of our 2024 debt maturity through a senior secured note issuance. The characteristics of the collateral pools securing these deals include high occupancy, strong remaining lease term and credit quality tenants. The note exchange offer we launched last evening includes additional senior secured notes backed by properties with similar attributes. However, beyond these portfolios, our unencumbered asset pool has its challenges, which I will discuss in further detail in a moment.
 Turning to our portfolio as of quarter end. OPI's portfolio consists of 151 properties totalling 20 million square feet with a weighted average remaining lease term of nearly 7 years. Our portfolio is diversified by industry and geography with more than 60% of our revenues coming from investment-grade tenants or subsidiaries. We ended the quarter with consolidated occupancy of 85.6% in same-property occupancy of 88.2%. Despite significant operational headwinds that continue to impact the office sector, we executed 488,000 square feet of new and renewal leasing. This activity resulted in an average lease term of 9.3 years and a roll-up in rent of 10.2%, reflecting our highest leasing spreads since 2022. Leasing concessions and capital commitments continued to decline this quarter at $2.42 per square foot per lease year, which is less than half of OTI's quarterly average in 2023. Renewals drove over 90% of our leasing activity this quarter, including a 10-year renewal with the GSA to 352,000 square feet in Ellenwood, Georgia at a 24.7% roll-up in rent and a 10-year renewal was the state of Minnesota for 58,000 square feet in Roseville, Minnesota and a 30.7% roll-up in rent. The United States government is our largest tenant, representing 20% of annualised revenues across 43 leases for over 3.5 million square feet. We estimate that 12% of our annualised revenues are from leases at specialised building facilities that serve mission-critical needs for government agencies, such as the Petroperu investigation, Department of Homeland Security and the Drug Enforcement Agency. The essential nature of the work speed agencies are conducting and their need to physically occupy our property has historically provided OPI with stable, predictable cash flows. These historical trends were further reinforced this quarter. Conversely, the remainder of our U.S. government exposure or 8% of annualized revenues are from leases for back office uses that are subject to the same remote work threat to building utilization as our private sector tenants. Over time, we expect the nonspecialized portion of our government revenues to decline as the GSA speaks to consolidate office space into government-owned buildings while reducing its reliance on these properties. We plan to offset this pressure to OPI through re-leasing efforts and asset disposition.
 Turning to OPI's upcoming lease expiration. We have and will continue to face significant lease roll over the next several years, with nearly 30% of total annualised rental income expiring through 2026. Reach expirations over the next 12 months total 2.5 million square feet or 15% of OPI's annualised rental income. As we discussed on our call last quarter, single-tenant properties will drive most of our expirations and we expect approximately 2.2 million square feet, representing $65.5 million of annualised rental income will not renew, which will negatively impact our results in the coming quarters. Furthermore, over 2 million square feet relates to properties not already encumbered in our existing debt agreements or part of the note exchange offer I referenced earlier. While we are proactively engaging in discussions with our tenants to address their state needs, tenant retention remains a significant challenge as hybrid works in an uncertain macroeconomic climate continues to negatively impact demand. Re-leasing efforts are further impacted with minimal tenants in the market to absorb large blocks of space. Accordingly, it can take upwards of 2 years in significant capital to stabilize vacant properties. To that end, we are focused on selling vacant or soon to become vacant assets. We are in various stages of marketing more than 2 million square feet of properties for sale across OPI's nationwide footprint, most of which were previously leased to single tenant users. In March, we closed on the sale of 400 South Jefferson in Chicago to an owner user for a sales price of $38.5 million or $155 per square foot. We also received an additional $10.5 million in lease termination fees from Taken Foods, our former tenant as part of the deal. Turning to development activity. We reached an important milestone with the substantial completion of Unison LiSA, our 300,000 square foot life science and office redevelopment in Seattle, Washington. The property is 28% leased, and we continue to aggressively market the project, including 4 move-in ready spec labs week. No further development projects are underway. I will now turn the call over to Brian to review our financial results. 
Brian Donley: Thanks, Yael, and good morning, everyone. We reported normalised FFO of $38.3 million or $0.79 per share for the quarter, which was in line with our guidance range. This compares to normalized FFO of $45.9 million or $0.95 per share for the fourth quarter of 2023. The decrease on a sequential quarter basis was driven by higher interest expense and lower NOI as a result of tenant vacates. Same property cash basis NOI decreased 12% compared to the first quarter of 2023, which came in better than our guidance range of a 14% to 15% decline. The year-over-year decrease was mainly driven by elevated free rent concessions, vacancies and higher operating expenses. We generated CAD of $0.46 per share during the first quarter and $1.32 per share on a rolling 4 quarter basis. First quarter CAD includes $10.5 million or $0.22 per share of early termination revenue related to the sale of the Tysons Food property in Chicago. Turning to our outlook of normalized FFO and same-property cash basis NOI expectations for the second quarter of 2024, we expect normalized FFO to be between $0.62 and $0.64 per share, a decrease sequentially from Q1 is primarily driven by lower regal income. We expect same-property cash basis NOI to be down 15% to 17% as compared to the second quarter of 2023, driven by elevated free rent and tenant vacancies.
 Turning to our investing activities. As Yael mentioned, during the first quarter, we sold one property for $38.5 million, and we have 1 property under agreement for sale for $7.8 million. We spent $21.2 million on recurring capital and $6.9 million on redevelopment capital during the first quarter. In 2024, we continue to expect our total capital spend to be approximately $100 million, comprised of $25 million of building capital and $75 million of leasing capital. Turning to the balance sheet. As we discussed on our last call, we made significant progress to begin the year in addressing our debt maturities. We recast our revolving credit facility with a new 3-year $425 million secured credit agreement and issued $300 million of 9% senior secured notes. Using the proceeds from the notes offering and borrowings under our revolving credit facility, we redeemed all of our $350 million of 4.25% unsecured notes scheduled to mature in May 2024. I would also like to highlight that we have enhanced our disclosures to provide additional visibility into the collateral pools securing our various debt transactions within our earnings presentation and in our investor presentation posted to our website. We ended the quarter with $2.6 billion of outstanding debt with a weighted average interest rate of 5.4% and a weighted average maturity of 4.9 years. We had $159 million of total liquidity, including $135 million of availability under our credit facility. We have been focused on evaluating strategies to navigate our upcoming debt maturities, including our $650 million of senior notes due in February 2025. Last night, we commenced debt exchange offers pursuant to which OPI wish you up to $610 million of new 9% senior secured notes in exchange for certain of its outstanding unsecured senior notes with priority given to holders of opioids 4.5% senior notes due 2025. The offer is subject to a number of conditions, including at a minimum of 15% or $98 million of our 4.5% unsecured notes due 2025 are validly tendered and at least $488 million of the new senior secured notes would be issued. The exchange offers are only being made as certain eligible holders in accordance with the terms of an offering memorandum as noted in the press release, LPI issued last night. We look forward to providing updates about our progress in the future. Thank you for joining us today. This concludes our conference call. 
Operator: Thank you very much for attending today's presentation. You may now disconnect. Have a good day.